Operator: Good afternoon. My name is Taneka, and I will be your conference operator today. At this time, I would like to welcome everyone to the Las Vegas Sands Corp. Q1 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator instructions) Thank you. I would now like to turn the call over to Mr. Daniel Briggs, Vice President of Investor Relations. Please go ahead, sir.
Daniel Briggs: Thank you, operator, and good afternoon, everyone. Thank you for joining us today on the call. With me today are Mr. Sheldon G. Adelson, our Chairman and Chief Executive Officer; Mike Leven, our President and Chief Operating Officer; Rob Goldstein, Executive Vice President and President of The Venetian and The Palazzo Las Vegas; Ken Kay, our Chief Financial Officer; and Gayle Hyman, our General Counsel. Before we begin, let me remind you that today’s conference call will contain forward-looking statements that we are making under the safe harbor provisions of federal securities laws. The company’s actual results could differ materially from the anticipated results in those forward-looking statements. Please see today’s press release under the caption ‘Forward-Looking Statements’ for a discussion of risks that may affect our results. In addition, we may discuss adjusted net income, adjusted diluted EPS and adjusted property EBITDA, which are non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures are included in the press release. Please note that the presentation is being recorded. With that, I’ll turn the call over to Mr. Adelson.
Sheldon Adelson: Thanks, Dan. Good afternoon and thank you all for joining us today. I’ll begin the call today with some big picture thoughts on this quarter’s results and the preview opening of Marina Bay Sands in Singapore. I’ll then hand the call over to Mike and the team to provide some additional detail. Big picture. We are quite pleased with our results. Our business is doing very well at the moment, each of our properties is growing revenue, operating efficiently and expanding EBITDA margins. The strength of our business model in Macau remains on display in our quarterly results. We again generated record revenues and EBITDA in the quarter and continue to lead the mass market in EBITDA generation. While total net revenue at our three properties in Macau increased 24% compared to last year’s first quarter, adjusted property EBITDA increased 47% across our portfolio of the properties in Macau. It just validates what we’ve been saying that somebody once told me, you can’t put ‘revenue’ in the bank, only ‘EBITDA’ goes in the bank. At The Venetian Macao, EBITDA for the quarter was $170 million, an increase of 40% compared to last year’s first quarter. EBITDA margin increased to a quarterly record 30.9%. That financial performance reflects strong revenue growth coupled with our continued focus on efficiency throughout our operations. The results of the Sands Macao and Four Seasons Hotel Macao and Plaza Casino also reflect these trends. Revenue is up 26% at Sands Macao for the quarter, while EBITDA was up 38%. At the Four Seasons Hotel Macao and Plaza Casino, revenues were up 118% for the quarter, while EBITDA was up 343%. Focus on the highly profitable mass gaming hotel and retail businesses together with our attention to cost structure and efficiency has allowed us to bring record revenue dollars through to the EBITDA line. We will recommence construction shortly on Parcels 5 & 6, which is our largest Cotai Strip development today. We believe that 13.3 million square foot integrated resort complex with its array of world-class attraction and amenities will broadly appeal in Macau as an international tourism destination. Importantly, the development will more than double the hotel inventory on the Cotai Strip. That hotel inventory is critical to increasing the competitiveness of Macau as an International MICE Destination and enhancing retail growth. I might say that I believe there are several thousand employees already on the site that are doing some remediation work and that may have already started some of the minor reconstruction works. Let me spend a moment on Las Vegas. Revenues increased modestly this quarter compared to the quarter one year ago, due principally to record volumes in the gaming portion of our business. Group business is also returning, although pricing remains competitive. Forward bookings are increasing for both 2010 and ‘11, which is encouraging. We are also seeing stronger pricing trends in the FIT portion of our business, particularly on weekends. Finally, let me touch on the newest and most exciting property in our portfolio, Marina Bay Sands in Singapore. After years of hard work and preparation, we opened the doors of Marina Bay Sands on April 26, just 10 days ago. While it remains early days, the initial results are extremely promising. Visitation and gaming play levels have been robust. We hosted our first group meeting earlier this week and will host a second major group next week. Forward booking trends, which were already quite healthy, have increased markedly since we opened that door. Let me provide a few early observations on Marina Bay Sands that we’ve learned since we opened. One, we have a substantially different customer profile than our competitor, which should lead to a high revenue per visitor. Two, our departmental profit from gaming has ranged between 45% and 60% depending on the volume of play per day. This is what we have been saying for quite some time and others haven’t agreed with it. Three, direct VIP play has been robust to-date with over 450 credit applications completed in the first week. Customers have come principally from Malaysia, Indonesia and Singapore, which we’ve always maintained has been our primary market, with additional customers from Taiwan, Mainland China, Hong Kong, the Middle East and India. Four, both our premium direct and slot play have been quite robust and have exceeded our expectations. Five, to-date visitation has been mostly from overseas visitors with a much smaller component coming from Singaporeans. Sixth, we are learning rapidly about our customer taste and we have significant opportunities to reconfigure our gaming floor, as well as minimum wages and game mix to deliver the most popular games based on customer demand in the future, particularly on the ETG, the electronic table game side. We believe that can somewhat increase our average win per game per day on the slots. We are confident about the property’s potential to generate both significant growth and strong returns for the company, while increasing visitation to Singapore and enhancing its reputation as the leading international business and tourism destination. We look forward to formerly celebrating the debut of Marina Bay Sands with the people of Singapore and a grand opening celebration on June 23. I look forward to addressing your questions later, but I’ll turn it over to the team for a quick update first. Mike, you are on.
Mike Leven: Thank you, Sheldon. I’ll add just a couple of thoughts. We’ve worked hard to instill a culture of class discipline across the company, and expect that focus to be an ongoing component of our future success. Now, our principal focus has turned to opportunities for growth, which we believe to be significant. In Macau, we have outstanding organic growth opportunities in the gaming, hotel, MICE and retail areas. We will also significantly expand our asset base in Macau with the debut of Parcels 5 & 6 on the Cotai Strip. In Las Vegas, our recovery of consumer spending and an eventual recovery in room rates will occur over time. At Sands Bethlehem, the addition of table games this summer and our 300-room hotel in the spring of 2011, as well as the expansion and maturation of our regional marketing programs will benefit that property. And of course, Marina Bay Sands should provide substantial growth in the coming quarters. The Venetian Macau remains the market leader in mass play in Macau, delivering non-rolling drop of $922 million and record slot handle of $670 million for the quarter. The trend of high hold at The Venetian Macau on non-rolling play continued last quarter and also occurred in April. We believe these higher hold rates at the Venetian Macau on non-rolling play, which are impacted by many factors, including the length of play, the customer profile and the mix of games on The Venetian floor, should continue in the foreseeable future. Our contribution to EBITDA at The Venetian Macau continues to reflect that strategy. For every dollar of EBITDA generated at the property during the quarter, nearly 60% was produced by less volatile higher margin mass gaming and slot play. Over 25% was generated from non-gaming areas, including our hotel convention banquet and retail operations, and less than 15% was contributed by the more variable lower margin VIP rolling play segment. We remain focused on developing and growing our premium direct business, which is the higher margin segment of VIP play. Our direct VIP play at The Venetian Macau grew to $2.1 billion or approximately 21% of the more than $10 billion of rolling volume during the quarter. At the Four Seasons Hotel Macao and Plaza Casino total rolling volume was $3.7 billion with direct VIP rolling business growing to $1.6 billion or 43% of that total. Looking ahead, we remained confident that the development of additional destinations on the Cotai Strip will expand the market, driving greater mass play, hotel and retail revenues to our current and future profits. Let me spend a moment on the Sands Macao. The Sands remains both a cash cow and a market leader in mass play on the Macau Peninsula. EBITDA increased 38% to $70 million for the quarter. EBITDA margin improved to 24.6% this quarter compared to 22.4% in last year’s first quarter. So that covers Macau. Let me spend a minute of Sands Bethlehem, before Rob covers Las Vegas. I am pleased to share the Sands Bethlehem had its best quarter since we opened the property last summer, generating $11 million of EBITDA; the improving results reflect stronger slot revenues, the introduction of additional marketing programs and in concert with our efficiency effort that was just completed. We continue to believe Sands Bethlehem has potential. We plan to add 89 table games this summer, which should increase the property’s appeal and should contribute to greater profitability of the property overall. We have also restarted the construction of our 300-room hotel, which is expected to open in the spring of 2011. The addition of the hotel will increase the length of stay at Sands Bethlehem, while adding higher margin hotel revenues to the property’s financial results. With that, let’s go to Rob and Las Vegas.
Rob Goldstein: Thanks, Mike. Our Las Vegas property delivered EBITDA of $105 million in the first quarter of 2010 compared to $90 million in the first quarter of last year. The gaming segment of our business remains strong. Hotel occupancy also remains healthy. The challenge continued to be room rates, which remain weaker compared to historical levels, although FIT rates have shown improvement, particularly on weekend. Food and beverage business is also down compared to levels we enjoyed in the past. Table game drop was a record $547 million during the quarter, a 23% increase in the first quarter of 2009, while slot one was $49 million during the quarter, about the same as it was in the 2009 first quarter. Looking forward, we expect to realize more group rooms in 2010 than we realized in 2009. The pace of group business bookings continues to improve. 2011 should be stronger than ‘10. In 2009, we realized approximately 478,000 group room nights or about 18% of our total room nights. Today, we have about 515,000 group rooms on the books for 2010. We expect our actual group rooms to exceed that number as we add additional business throughout the remainder of the year. We do expect that pricing will improve over time as business expands, our competitors in Las Vegas will raise prices and the economic recovery continues. So, in summary, our gaming business is healthy with record volumes in our most recent quarter, while our cost was down. Given that backdrop, we are confident that Las Vegas properties will continue to exhibit significant operating leverage as price in the FIT and group segments improve. And with that, I’ll turn the call over to Ken.
Ken Kay: Thanks Rob. We made steady progress this quarter on our de-leveraging strategy. Excluding our development financing in Singapore, we paid down or retired approximately $850 million of our debt during the quarter. Those repayments include the total outstanding balance of $776 million on the revolving portion of our domestic credit facility. Repayments also include the purchase and retirement of approximately $35 million of face value of our senior notes, which were purchased at a discount. These repayments will reduce our cash interest expense by more than $25 million per year in the future. As of March 31, we had in excess of $4.2 billion of cash, cash equivalents and short-term investments on our balance sheet. That cash provides us with significant financial flexibility and will enable us to execute additional components of our de-leveraging strategy in the future. In addition to our cash balances at March 31, we have approximately $1.3 billion of availability under our undrawn credit facilities at current exchange rates, including amounts available through our U.S. credit facility and our Singapore credit facility. So together, we have approximately $5.5 billion of cash, cash equivalents and short-term investments and available sources of liquidity. The principal uses for that $5.5 billion includes approximately $1.4 billion of capital expenditures, pre-opening, FF&E and construction period interest to spend on our Marina Bay Sands development in Singapore through the end of calendar 2010, although we expect as much as $400 million of that amount to be paid out of cash flow generated by Marina Bay Sands during the year. An additional $400 million, principally retainage payments on the development will be paid out of cash flow from the completed property in 2011. Approximately $400 million in additional equity contributions will be made towards the development of Parcels 5 & 6 on the Cotai Strip in Macau. In addition, we expect to close later this month the previously announced $1.75 billion credit facility to fund construction of Parcels 5 & 6 in Macau. The $400 million in equity and the project financing together are sufficient to complete the first two phases of that development, which will feature approximately 6,000 hotel rooms and all of the major cash flow generating components of the development. As of March 31, total debt was $10.5 billion, while our cost of borrowing remains low. Our weighted average interest rate for the quarter was approximately 3.5%. At our current levels of operating performance, our cash balances provide ample cushion for compliance with the financial covenants in our domestic credit facility. At March 31, 2010 for the U.S. restricted group covenant compliance purposes our trailing 12-month EBITDA was $439 million, our total gross domestic debt was $4.3 billion, our cash balances within the U.S. restricted group were $2 billion, and our calculated net debt was $2.4 billion. Our leverage ratio was 5.4 times compared to a maximum leverage covenant under our U.S. credit facility of 6 times. For The Venetian Macao restricted group, at March 31, 2010, our trailing 12-month EBITDA for compliance purposes was $1 billion, total gross debt at The Venetian Macao restricted group was $2.6 billion and our leverage ratio was 2.6 times compared to a maximum leverage covenant of 4 times. We remain focused on maximizing operating profitability to enable debt reduction. While our business will naturally generate a significant amount of free cash flow that will enable de-leveraging in the future, we also expect to execute in due course the sale of non-core assets, which will enable additional debt repayments and enhanced returns. Before I turn the call over to Sheldon for concluding comments, let me highlight two changes we are making this quarter with respect to our expectations for table games hold. For rolling play, we are establishing a range of 2.7% to 3% across our portfolio of properties, which is consistent with the actual hold rate we have experienced over the last few years. For non-rolling play, our range of expectation for hold rates has historically been 18% to 20% in Macao and 20% to 22% in Las Vegas. We do not believe these ranges accurately reflect our evolving non-rolling cable games business in either Las Vegas or Macau. Our non-rolling table games hold rates in both Las Vegas and Macau are impacted by many factors, including the length of play, the customer profile, the mix of games and seasonality. These factors vary widely across our portfolio of properties and are constantly changing. Given that backdrop and our belief that a one-size-fits-all hold expectation cannot accurately capture these factors across our portfolio of properties, we have chosen to move to a property-specific four quarter moving average methodology for non-rolling table games hold expectations. We believe this methodology is a reasonable one that will allow each property’s expected hold percentage to reflect that property’s unique characteristics and expected hold performance as determined by actual historical experience. And with that, I’ll turn the call back over to Sheldon.
Sheldon Adelson: Thanks, Ken. First thing I want to say is that I made an error before. It was a typo in our draft. I said that we opened on April 26. We actually opened on April 27. I should have known; I was there. Before we go to Q&A, let me make a couple of final points. We worked very aggressively last year to right size our cost structure and to clean up our balance sheet. I know we’ve made a lot of that in several prior conference calls, so I am very happy to say that that’s been substantially completed. The results of those efforts are now clear. We just completed another outstanding quarter generating record revenues and EBITDA. We have significantly reduced our debt levels and our balance sheet now is more than $4.2 billion of cash, providing significant financial flexibility and enabling us to continue our industry-leading growth strategy. We stand today at the beginning of our next major phase of growth. With that, we’ll move to your questions.
Operator:
 :
Joe Greff – JP Morgan: Good afternoon everyone.
Ken Kay: Hi Joe.
Sheldon Adelson: Good afternoon.
Joe Greff – JP Morgan: I was hoping that you can give us an update on any conversations or the many conversations I’m sure you have had with Macau and/or Beijing with respect to the table game cap for new development in Macau. I think, Ken, you phrased when you were talking about sites 5 & 6 as having 6,000 rooms and all the cash flow generating amenities, can you comment on how many table games you are allowed right now to have there, what you are anticipating to end up there, and whether that would involve table games being brought over from some of your existing properties, whether it’s the Four Seasons or Venetian Macau? Thank you.
Mike Leven: Joe, this is Mike. We met last week with the members of the Macau government. We’ve been assured in writing for 400 tables to start with and their assurances of reviewing tables as we go over the next couple of years, our expectation and our lenders know that we will open with enough tables in 5 & 6 to justify the numbers that we projected in the loan documents. That will involve moving some tables from some of our facilities, as well as the additions of some electronic games.
Joe Greff – JP Morgan: Okay. Just to clarify that the 400 that you have been assured in writing…
Mike Leven: That is correct.
Joe Greff – JP Morgan: …that is inclusive of table games that you would move from other properties?
Mike Leven: No. 400 new tables plus 2,200 slots we have assurances from the government and we received that assurance and the assurance that they will work with us to get additional tables by the latest in March of 2013. But if that doesn’t happen, we will still open. We will move some tables that we are not using in the other facilities as well as add electronic games. So the numbers that we projected are the numbers that are in the loan documents and have been approved by the banks.
Sheldon Adelson: Mike, I like to add on that and say I believe that number is approximately 170 tables that we’re going to move that either are not being used right now or that are – what used to be marginal games that are being used at lower rates. We are adding 100 electronic table games, which offer some very good potential. We’re going to try different electronic table games. We are also assured by the government – we’ve been assured that we’ll have the 270 extra games that we originally put in our plans in 2013. So we’ll operate for two or three years without – well, we’ll still operate with that number of tables, but we’ll be able to get another 270. That is before we start to make adjustments like we are making in Singapore, we make with all new properties. Increasing or decreasing the number of tables and denominations as we open the property and we see the demographics of the visitation.
Joe Greff – JP Morgan: Great. Thank you. And then with respect to Marina Bay Sands, Sheldon, I was hoping you can share with us, I know it’s been only 10 days, any kind of revenue metrics at the property, whether it’s one per slot per day or slot revenue per day or mass revenue per day. It would be nice hearing what those numbers are relative to other numbers that we might be hearing from your competitors?
Sheldon Adelson: Well, let’s put it this way. None of the analysts have come up – first of all, we don’t have – one thing we are sure of that it takes long time to order a stadium-style electronic table games that seem to have gone gangbusters in Genting's Resorts World Sentosa. I call it Genting, other people call it RWS. They are completely full and we’ve ordered them and these sort of have to be made custom, but we expect them in four to six weeks. So that will make a big difference. However, the lowest number per day that we’ve experienced is higher than the maximum number that any of the many analysts have been estimating. The estimates that we’ve seen in the market are similar to Las Vegas numbers, $200 plus or some other numbers around the country. But we have ranged – it depends upon the day and depends upon which machines have been opened, because in the few first few days, the – what they call them, surveillance requirements are really, really very particular, very meticulous, very perfectionists. What we’ve learned, I’ll give you a range from $400 to $900 per unit per day, and I don’t think any one analyst came out with our lowest number of $400. So I think we’ll have a somewhat higher average when we bring in those electronic table roulette games. It’s obvious at the roulette games we get 8 turns an hour, 8 to 10 turns an hour out of the roulette games, the live roulette games. And the ETG, the electronic table games to roulette are 80 games an hour, and it’s just unbelievable cash cows.
Joe Greff – JP Morgan: Great. Thank you Sheldon. Rob, I almost didn’t recognize you actually not sounding so negative on Las Vegas. Your comments about the FIT rates on the weekends, can you explain, why do you think that is? Is that just demand coming back, and therefore, you and others on the strip are yield managing appropriately or is it just a rationalization of how the operators are looking at charging room rates?
Sheldon Adelson: Before your answer, Joe, I just want to say we around here completely agree with you. We don’t know if you are talking to Rob Goldstein the new or Rob Goldstein, the old. His birthday is tomorrow.
Rob Goldstein: My birthday is Sunday.
Sheldon Adelson: Sunday.
Rob Goldstein: Yeah.
Sheldon Adelson: So he is the older long-term Goldstein.
Rob Goldstein: I am getting old and tough. There’s been a nice…
Sheldon Adelson: How optimistic.
Rob Goldstein: There’s been a nice movement, Joe, in the weekends. To be clear, though, it’s not across the board. It’s been especially in the FIT leisure segment, has shown some relative strength in the last month. April was very good for the entire industry. I think that May is holding up that trend. And I don’t know how to attribute to what, but I think there is some confidence building among our competitors and certainly in this hotel that we are seeing weekend rent rates and leisure are trading up. It’s nice to see. Group demand, as we’ve said in previous calls, continues to be strong. Unfortunately, pricing doesn’t seem to accompany that demand. So I would love to see our group business get back up in the higher ranges, but what is happening, clearly, last weekend – all of April was very, very encouraging, on the weekends in the leisure segment, and I am hoping it bodes well for the summer because a lot of folks in town are very concerned this summer and they should have been, but there’s been in the last four to six weeks a nice trend upwards.
Sheldon Adelson: Could we say the number? I think we’ve been averaging on weekends between 240 and 260.
Rob Goldstein: Last weekend 262. We had nice and lots of – it just looked good. It’s been a recent trend now, Joe. I think you saw the MGM number this morning and I think you know what’s happening in town. The first quarter was not that strong. And I think we got ways to go in Las Vegas, but I’m a little more optimistic than I have been in the last six months, but I do see some positive leisure trends. And clearly, demand on the group side is very strong, but the rates haven’t been as strong.
Joe Greff – JP Morgan: Great. Thanks guys.
Rob Goldstein: You didn’t talk about tables, did you Joe.
Joe Greff – JP Morgan: I will let the next guy ask about that. Thanks.
Operator: Your next question comes from Janet Brashear.
Janet Brashear – Sanford C. Bernstein: I wanted to ask about lots 5 & 6 in Macau. We’ve heard stories of labor rallies against foreign labor and potential requirement that you have one local worker for every non-local worker and cost escalations due to labor shortage. And you have a few thousand people on site now, but typically would have more like 10,000 to get a project of this size done. What are you hearing from the government about your ability to bring in more workers and what does that mean for your timetable and your cost projection?
Mike Leven: Hi, Janet, this is Mike. We had a meeting last Friday in Macau. We had a very good meeting. And the indications we got were that there is some levels of low – there is a very low level of unemployment in Macau. We actually have about, I think, 3,900 workers on the site now and the indications we got as we left the meeting is that we shouldn’t be worrying about whether or not we’ll be able to have the blue cards for workers. But we have to absorb some of those non-employed workers in Macau, which we’re willing to do, and we don’t expect either us – and I can’t speak for Galaxy, who has been having the same situation, about having a problem there. We feel very confident we’ll have the workers to finish the project.
Janet Brashear – Sanford C. Bernstein: Will you have them on a quick signing? So if you do what your part is which is absorbing the non-employed workers, is that a process you can work through quickly so that you can get your blue cards expeditiously?
Mike Leven: Yeah, we believe so, Janet. I think that it’s in the interest of Macau and the government and the citizens there that we’ll be successful and get done. And at this point, there will be some time that we have to execute certain construction contracts, which will probably last three or four months before we get fully operational. There are workers available outside of Macau, obviously, for that. And at this point, candidly, we don’t expect to have a problem. We will go through the process, we’ll work through the process and we expect that we will be okay.
Janet Brashear – Sanford C. Bernstein: Great. If we switch to Singapore, what was your biggest surprise in opening Singapore?
Mike Leven: The biggest surprise in Singapore.
Janet Brashear – Sanford C. Bernstein: Yes.
Mike Leven: You are talking about the biggest surprise in the first week of opening?
Janet Brashear – Sanford C. Bernstein: Yes.
Mike Leven: It’s a tough question. I think that I’d have to say, from a casino standpoint, I think the biggest surprise is the VIP premium, the direct premium business, the credit business, the amount of credit applications, and the activity in our casino results, which indicate a roughly around 50% coming from that particular segment right off the back. I think that was a big surprise to me. I think the other surprise was that how well the casino was accepted in the community in terms of its positioning vis-à-vis the competitor. All the press and all the support kind of lifted it to a different level. And in the mass play, the non-slot mass play was surprisingly good. I thought the slot play would be what it is, but I didn’t know that the mass play would hold on the tables. The way we set the floor up, we set it up so that we would have enough tables to accommodate everybody who came. So at some points there were empty tables or very slow play at some tables, but there were no lines, no pushing, no shoving, no crowd that occurred in the other environment, and that was intentionally done. So, I was surprised how well that worked. We had no lines, no difficulties, et cetera. On the negative side, I think we were surprised at how much surveillance activity we had to do in the last minute to get tables open, the amount of cameras being added. And so, as a consequence, we didn’t open some of the VIP rooms. Only got about half of our tables opened in the Paiza area, and that was a little bit of a surprise. We thought we were okay that way, but in the last of couple of weeks it kind of away from us. I think for the resort that is basically – even though 50% of the GFA space is open, only really about 20% to 25% to 30% of the total resort is open and I think we were surprised at how well it was accepted by the community.
Janet Brashear – Sanford C. Bernstein: You said that the local crowd was less than – was a low percentage. Was it – can you give us some idea of how low and was it lower than you expected and…
Sheldon Adelson: No, one third, two thirds approximately.
Mike Leven: In the first number of days in the casino we had foreigners about 66% and about 33% Singaporean.
Ken Kay: For a couple of days, it was even 50-50, but most – if you looked at the whole – over the entire course of eight days, it was up there – many more foreigners, Malaysia, Indonesia and foreigners from Singapore primary markets, which we expected, and the Singapore market about one third to 40% maybe at the most of Singaporeans.
Sheldon Adelson: There is 36,000 other rooms, this is Sheldon, in Singapore. And they enjoy very high occupancy rate in the 80s typically – net high 80s. And there is a lot of opportunities for foreigners to come in – that visitation to the other hotels we’re just going to try to set up shuttle buses between some of the bigger hotels if they will allow us to do it. There is good news and bad news on the opening day. The good news is we had an awful lot of people. The good news – well, I shouldn’t say the good news or bad news. The second part of the good news is that people looked at it and said, well, there weren’t a lot of crowds, there weren’t long lines that there was at Genting, but oh god, did they have a lot of people. Well, Genting didn’t have a huge 1.25 million square foot convention center to warehouse the people in. So what we did is set up the – they didn’t have any air conditioned space to put them in. So we turned the air on in the convention center. We put in thousands of chairs. We put in foodservice. We put in counters where they could pay – the Singaporeans could pay their $100 entry fee. While the real bad news was that we weren’t allowed to advertise that we were going to be open. But people just knew and the rumor had gone around that we were going to open on the 27. And we weren’t able to advertise it till the 27 until most people already went to work. So, then we let the people in on an orderly basis, straight line with extensions and ropes and very orderly. So we have thousands of people waiting, but I guess the journalists didn’t know that they were in there, they were just shooting pictures of the people that were on a very orderly basis coming into the casino from the convention center.
Rob Goldstein: Janet, we should have – I think all of us were there, the one thing about the building we should say it’s a stunning building, iconic, it’s beautiful. And I think everyone who went to the opening was, I think, very, very impressed both tourists and business (inaudible) is an amazing iconic building. In fact, if you are ever in that region, you have to see it.
Janet Brashear – Sanford C. Bernstein: Thank you.
Operator: Your next question comes from Mark Strawn.
Mark Strawn – Morgan Stanley: Good afternoon guys. I have two quick questions.
Sheldon Adelson: Hi, Mark.
Mark Strawn – Morgan Stanley: Hi. First question on Singapore, I know it’s early, but given the strength in the slot market that you are seeing so far, do you guys have any thoughts on reconfiguring the floor and maybe including more slots and pulling table? And if you are to do so, would there be any labor or CRA issues in doing so? And then I have a quick follow-up on Macau.
Mike Leven: Mark, let me just give you this answer. We’re in there eight days, and although there were subsets of urgency to get the stadium electronic slots in, at this point it’s really too early to tell what the movements will be and we know we have to make some changes in the floor. But it’s going to take another week or two before we find some very – I am on my way there next week also. So it’s going to take a little while to get exactly the right mix of business and that’s going to be ever changing. So the only really sure thing now is we have ordered the electronic stadium seating games, and our mix of Baccarat to other tables is being looked at very carefully. The size of the casino – a lot of the traffic is coming into the sides and not moving towards the middle. And so, there is a number of things we’re looking at which you’ll find as you go. So the answer to your question is, yes, there will be movement, there will be changes. And on the other side, on the labor side with the CRA, it’s a pretty free environment for us to do what we want to do as long as the surveillance requirements are taken care off. But from a table side standpoint, it doesn’t really – they won’t affect us in terms of staffing.
Mark Strawn – Morgan Stanley: Okay. Thank you. Then on Macau, just looking at the mass performance, while it’s certainly impressive if you look at it sequentially, volumes have been relatively flat. Do you guys have plans in place, whether marketing or otherwise, to try to stimulate volumes somewhat in the market?
Mike Leven: A lot of the emphasis in Macau by the individuals in charge now has been on trying to build the VIP direct market with our own credit. We are doing a lot of that. It’s growing, as I mentioned in the call. I think it was 21% of our business in the quarter. That will help us. But with that strategy as well as our strategy in terms of MICE business and the tour and travel business that we’ve been working on and getting good results on, that doesn’t build the same kind of revenue, as you know, of the junket rolling revenue. That sort of dominates the revenue perspective of Macau. So I can’t tell you that our revenue will have sequentially the amount of growth, but I feel very confident that our EBITDA will continue to grow exponentially as we produce that kind of business. We have no real plans to build a junket level traffic. As we’ve held to the 1.25 also, we’ve potentially lost or have been impacted by some of the peninsula properties that give better rates. So we’ve taken another approach to it. I don’t know if that answers your question.
Mark Strawn – Morgan Stanley: That’s helpful. One quick follow-up, have you seen any impact from City of Dreams across the street been any more promotional and have you felt the need to match that at all or that had not been necessary at this point?
Mike Leven: To our knowledge here we haven’t matched it. I have not heard anything from Steve Jacobs and the people over there that City of Dreams has been changing their 1.25 rate. The changes that I hear – you’re talking about in the mass market.
Mark Strawn – Morgan Stanley: Yeah, more on the mass side.
Mike Leven: Well, they’ve done some things on mass. They’ve done some promotion and some advertising. We are doing some things in other areas now, promoting business. We’ve been pretty successful at it so far. But you don’t really see that unless you actually look at, particularly in The Venetian and the Four Seasons at how many rooms are being sold every night to the non-VIP, the non-junket play. And we’re selling about at least two thirds of our rooms or more at The Venetian on a paid customer basis now.
Mark Strawn – Morgan Stanley: Okay. Thank you very much.
Mike Leven: That’s a big indicator. I don’t know what City of Dreams is doing, but my guess is it’s not nearly as much as that.
Mark Strawn – Morgan Stanley: Okay. Thank you.
Operator: Your next question comes from Shaun Kelley.
Shaun Kelley – Banc of America/Merrill Lynch: Great. Thanks guys. Just wondering going back to Singapore for a second if we can get a little bit more color on the VIP versus mass mix. I think you’d mentioned just briefly that about 50% of the business was coming from VIP. Is that correct?
Ken Kay: That is correct. I think the actual number for eight days is 48% of the revenue from VIP.
Shaun Kelley – Banc of America/Merrill Lynch: Got it. And just kind of where are you at right now in terms of the tables that are kind of up and running, given the surveillance issues, how many VIP and mass market tables are you at and kind of where are you headed over the next?
Ken Kay: We are at 70 VIP, 440…
Sheldon Adelson: Out of 139.
Ken Kay: Out of 139. The 442 out of 559, and we have 1,450 slots out of 1,642 slots.
Shaun Kelley – Banc of America/Merrill Lynch: Got it. And then, Mike, we’ve talked before a little bit about the commission and rebate structure, obviously you are not using junkets today. Is that right now in line with your expectation? How should we think about the rebates that are being demanded in the market right now?
Mike Leven: Rob can speak to that, I think, but let me just say that we’ve always said and continue to say on the junket side that if there are junkets that are licensed by Singapore we will do business with them. We don’t expect that to be many, but there will be a few. On the commission rate side, we basically – our strategy on the commission rate side on the private for the VIP private play, we positioned ourselves much below the competitor in Singapore. So, and the rates – we have not had pressure to move those rates so far. And the reason for doing that was that we thought that we would impact RWS’s VIP business, and if we competed dollar-for-dollar on the commission rate and they lost the business to us, then they will start moving the commission rate up again. So we’ve positioned ourselves lower on the commission rate. And I can’t tell you what the average is because I haven’t really looked at it in the eight days, but it is below what the competitor has published as their commission rates. And so far we’re not budging on it because we’re doing okay.
Sheldon Adelson: This is Sheldon. The ramp up of the high end is going well, but it is ramping up. We are getting customers from places that we didn’t consider in our priority countries. We look at the breakdown of the apps for the credit, and we find it coming from the main three areas; Singapore, Malaysia and Indonesia. And there are lots of very high rollers, substantially higher – at least the numbers I have seen, substantially higher than we have experienced here in Las Vegas. We don’t get a lot of $10 million, $12 million credit players here, although we do get some, but there is a lot of this there is more than what I expected. So we’re still ramping up. Particularly the first night that we opened we had some surveillance table issues and we couldn’t open all the tables. I’d like to point out something that nobody has really asked, our gaming table. Our gaming table win per unit is very encouraging. It’s difficult for me to give you the exact numbers. But let’s put it this way, when I did some estimates of what we would do, and I screen them extensively, the number that I came up with now, adjusted based upon the tables that are not open because for various reasons, mostly surveillance, the number is coming in at higher than what I originally estimated to come up with our overall EBITDA number. So we are very encouraged about the high end. I think a good part of that relates to the fact that we have a higher quality visitor compared to Genting. People say they have a lot of the construction workers. I personally wasn’t able to get there for the few days that I was there, but everybody else has been there. And so, the word that comes to me is they have domestic helper and construction workers, a lot of Bangladeshis. And we seem to have – just eyeballing it myself, we seem to have a higher quality of person, mostly it would appear to be middle class – lower to upper middle class people.
Shaun Kelley – Banc of America/Merrill Lynch: And just one last one on that number, Sheldon, just to be clear you are talking about the 1 billion to 1.25 billion estimate that’s been put out in the market previously?
Sheldon Adelson: We haven’t given any guidance. We have debated. We have debated. We’ve said we came up with certain figures that were in excess of 1 billion and nobody got there. But we are looking at numbers and metrics that are on a ramp and that seemed to go very well. We can estimate – we believe that the final numbers after the ramp-up period and on a 12-month basis will be a heck of a lot closer, if not equal to or maybe even exceeding our number that we expected then – and the average of the consensus of all the analysts together at a substantially lower number. I mean most of the analysts are estimating, say, slots as an example, at the normal U.S. type of slot numbers, but the slot numbers of the 200 range. Slot numbers are over there. I am sure you’ve heard about Genting and our slot numbers. I have told you what they were on different days. And we still don’t – we haven’t maximized the most desirable games. We have to do the fine tuning of both the table games and denominations and the slots in denomination. By the way, the electronic table games over there are considered slots – slot units, which will go up to 2,500. And we believe that the slot return is so good and so promising for the future that we’re going to – we’re seriously considering putting in as many as the maximum that we can in the near future 2,500.
Shaun Kelley – Banc of America/Merrill Lynch: Got it. Thanks everyone. Thanks Sheldon.
Sheldon Adelson: You are welcome.
Operator: Your next question comes from Robin Farley.
Robin Farley – UBS: Great, thanks. I wonder if you could help us quantify a little bit the impact of luck in the quarter, and I know that you said your ranges for normal hold are going to change, but based on the ranges that you talked about before the quarter, if you could help us kind of quantify because some of the factors aren’t in the release that would impact it, like – whether the play came in under what kind of arrangement [ph], so if you could help us quantify that for both Vegas and Macau? And then, also a question on Singapore, in terms of the stickiness of that local play, are most of the local visitors paying a one-time fee or are you getting some signing up for the annual membership, just trying to think about how long-term or how sticky that local visitation is?
Sheldon Adelson: Actually, I don’t think we have that information. We’re focusing on other stuff. Does anybody here have that information by chance?
Rob Goldstein: While we are searching information, I will just answer the Vegas hold issue. I think our number is dead on and should be because of our mix. Obviously, we had about $547 million in Las Vegas. About 50% of the drop came out of our Asian Baccarat, Chinese New Year’s week, couple of weeks. And so we didn’t play lucky, we played what we should have play, which is we held very well. Our historical is in the high 20s. It was actually held in the low 30s. But balancing that, the other half of the drop came out of our non-Baccarat more typical U.S. customer. We held very poorly, about 13%. We blended at the rate you see on the stat. We blended 234. But if you really look at – I don’t think we held high at all, but I think we held that dead-on we should be because the Baccarat business for the 10 years that we’ve been doing this we’ve held 28%, 29% against billions of dollars to drop. I think it’s reflective of the Baccarat market. The Asian play was disappointing because we held 5 points under the norm on the balance of the drop. So I don’t think in Las Vegas results because of the mix would be considered, 234 would be considered higher at that. I think it’s where it should be. Perhaps you can talk about Macau.
Sheldon Adelson: We have tried to skirt this issue. We’ll try to find a way to neutralize that will level it out on the hold. So I came up with the idea that we should take a 200 day – 100, 200-day or two or four quarter moving average. So we put together some of the figures, and the moving average, say, on the roll and – do you have the figures in front of you, Ken – the moving average on the roll, I believe, was exactly 2.84% over four quarters. 2.84%, you can’t get any more accurate than that. We could have come 1 basis point higher at 2.85%. But I think 2.84% is a very good moving average. You got to remember. So, every time we come over the low number nobody wants to adjust that upwards, because we had a lower than normal number. And everybody wants to reduce our performance down, when we come with high numbers. So, I think the average number should be, what it should be, what the average is over the long – the longer the period the greater the law of average is assuredly kicks in. Ken, do you want to make some comment about that?
Ken Kay: Well, I mean, breaking it up between the kind of the rolling and the non-rolling. On the rolling side, Sheldon is exactly right, in terms of the average, which is the 2.84, 2.85. If you look kind of the actual numbers for the first quarter, we were unlucky if you go by about $5 million on the role. And it’s a little complicated because you have to look at it on the volume base and win base. And the volume base was more from an overall kind of revenue perspective and we were unlucky, if you will, from that standpoint and a little bit lucky on the win side. So, when you kind of marry the two together because the volume base is with a higher percentage of the overall revenue stream, our net hold impact was an unfavorable 5 million. So, you basically have to add about $5 million to our performance for that. On the non-rolling side, if you compare it to the moving averages, we were a little bit favorable from that perspective. But, nonetheless, you have to look at it from the standpoint of we think that the actual performance that we achieved in the first quarter consistent with where the business has been performing over the last four quarters, and falling within that range. So, if you consider that our actual first quarter 2010 performance was within the range of performance that we’ve seen on the non-rolling business for each one of the properties in essence there’d be no adjustment for the non-rolling business. Now, if you compare it to just a single data point, which would be the moving average then we would have been favorable by approximately around $10 million or so. So, when you marry the two together meaning rolling and the non-rolling we are favorable in total by about $5 million.
Robin Farley – UBS: Okay, great. And that was helpful. Thanks. And then just last question. Can you break out what your casino receivables are and for both regions?
Ken Kay: What was that?
Rob Goldstein: Receivables.
Ken Kay: Yeah, just one second. Well, our casino receivables for Las Vegas on a net basis it’s about $118 million and for Macau it’s about $190 million.
Robin Farley – UBS: And do you have in front of you what percent reserved that is?
Ken Kay: Yeah, so in Vegas we’re about 31% reserved – but we have to look at it between – breakup between junkets and non-junkets. Overall it’s about 23% versus the non-junket business it’s about 39% reserved.
Robin Farley – UBS: Okay, great. Thank you very much.
Operator: Your next question comes from Felicia Hendrix.
Felicia Hendrix – Barclays Capital: Hi, guys. So, Sheldon on Singapore in your prepared remarks, I thought that you had said have something to the tune of your generating 45% to 50% profit. Did I hear that right?
Sheldon Adelson: You heard that the range of the departmental profits of the casino, which we do every day. Different days, depending upon the amount came in between 45 and 60 maybe it’s give or take 45, maybe 43, maybe 47. But the highest number I would tell was 60. I keep saying that we pick up 24% of the taxes alone.
Rob Goldstein: Versus Macao.
Sheldon Adelson: Versus Macao – well, actually thank you Rob. Versus Macao we picked up 24%. And although we do give away from 0.75 to 1.0 to the players direct, we save at least 25 basis points. Well, the average is probably somewhere between 0.75 and 1.0 so far at the high end. So, we are picking up 24 bps – 24 points on taxes. So, that’s a tough explanation. We picked up probably another 11% or 12% on the savings vis-à-vis to (inaudible). And by the way Mike said, and I’d like to put little more color to that, said that there will probably be some junket reps. Now, there are junket reps and they are junket reps. Lets calculate the Macao styled junket reps and then the Las Vegas styled junket reps. Las Vegas styled junket reps are really field sales people that send customers in, for which they get paid a basis of theoretical win with a cap. And some of the higher end players that people send in they make about $8,000 to $10,000 the field sales people, the junket reps in the field. But they are both unfortunately called the same thing. And there is the Macao styled junket reps that not only deliver the customer, they provide the credit and collection and they provide the cash. So, I don’t believe there is going to be a lot of the Macao style junket reps approved because I have talked to a couple of them myself, the only couple I’ve ever talked to. And they say they certainly don’t want to give out the information. They are very private people and they have – they deal in a lot of cash. And they’ll never submit that kind of information. So, I am very pessimistic that any of the Macao style junket reps will be approved or will I do it – or will not approved for inadequate information in Singapore. Now there may be some field sales people type of junket reps like you have seen in Las Vegas that might be approved.
Felicia Hendrix – Barclays Capital: So this range, which is impressive to begin with, is within your first eight days. Assuming that like other new casinos you might not be as efficient. Could we see this range shift higher?
Sheldon Adelson: Well, you have certainly fixed expenses, so I don’t know how much high you can get. It has been – our highest range of estimate was in the 60s. But I don’t know how it can get much higher than that, because we have certain fixed charges.
Rob Goldstein: It really depends on the mix. We are doing three very diverse segments of this so far, the spot business, is one terrific segment thus far, Sheldon, my guess is [ph]. The mass table market so far has been very exciting to us. As we mentioned the premium, really depends on segments you are in, because obviously the most difficult segment margin wise is going to be the premium. Right, because you are discounting, you are doing other things, you are rolling, so you got expense against that. As long as our foreign [ph] mix we are doing very well in all three segments. But depends on the mix how strong the margin gets, because obviously the spot machine, just for example, on $400 million or $500 million of slot revenue your margins are going to be extraordinary far beyond 45%. It really depends on your mix and if you mix the mass tables ends up being $5 to $10 million that could be extraordinary all this labor [ph] and nominal complementary. So really depends on the mix of your revenues. The most difficult, it would be obviously the premium segment. But I think it really depends, what Sheldon was referencing is thus far. And all three segments are very strong. So, it depends which segment performs the best as to what the eventual margin would be.
Felicia Hendrix – Barclays Capital: Okay. Just staying on the margin topic, if we could move to Las Vegas for a minute, Rob, in this quarter you guys obviously saw a nice benefit from strong baccarat play, which helped margins. But when we think about – I know you’re getting a little more optimistic, but when we think about how you should look for I don’t know the next year or so. Is this the margin base you are comfortable with or should we – when we go forward and model take into consideration that maybe you had just extra good baccarat play this quarter?
Rob Goldstein: Well, let’s be candid. No one can refute the fact we had exceptional – our Las Vegas based sales team for the Asian business I think is extraordinary and they are proving it right now in Singapore and they are proving in Las Vegas. However, unfortunately, we can’t figure out a way to get Chinese to come every quarter like we want to make Chinese years every month we haven’t figured that out yet. So, let’s be clear that – we dropped $550 million and hold 37% that’s a pretty good thing right. But what I think is most exciting for Venetian Plaza, Las Vegas is this is – what Sheldon prophesied a decade ago in terms of the group connection business, it still holds true, and as the market returns, keep in mind, something I always tell people which is every $10 of ADR can contribute $20 to $25 million of EBITDA. So, I think, we are really the first guys to step up and anticipate as a top-tier property. When the commission segment moves up and group segment appreciates $10 lousy of ADR translates to $20 million, $25 million of EBITDA, I don’t want to depend on Asian high rollers or even foreigners. The base business we’re in is rooms and rate. And we need rates to move for us to get back. We want to be back to six and seven. But I think when it does come to be, we’ll be the first guy to jump in and participate from that side. So, margins are not going be consistent when you’re holding – when you have that kind of handle. Obviously, that drives our business. We are very proud of our slot win. We had exceptional slot results, and again, almost $50 million of top line. But again, what drives Las Vegas are room rates, and right now room rates will continue to be the decider of margin, decider of EBITDA. I just think when things get better – and I hate to be overly optimistic, but it’s been a good couple of three, four weeks of weekend stuff. And reentering ADRs back $30, $40, this place makes a whole bunch of money.
Felicia Hendrix – Barclays Capital: Okay. And then speaking of that, when you just think about 2011, you touched on this somewhat, but what kind of rates are you booking your group business at yet so far?
Rob Goldstein: We’re trying to stay above $200. In some groups we’re getting higher than that. Very candidly, our goal is to exceed $200 in ‘11. I can’t say that we’re there yet. We have some business with (inaudible) that goes back six to eight months. This is a very competitive group market. And unfortunately, some people in the town just don’t believe that they can charge $250 and $300. We believe if some people would stop discounting aggressive, this market could move quickly. Very sincerely, I think the upside for us is significant. It’s material to our EBITDA. But for our group business to move every time we take a piece of business, we got to knock it down $30, $40 because someone else has offered [ph] 1.70. It’s painful, but it’s a fact of life, I think the town has to regain its sea legs, its belief that it’s a great place to visit. It’s stupidly inexpensive. Groups are flocking here because despite some comments on Las Vegas earlier, Las Vegas is the best place in the world that your group – people who don’t have a group for a meeting here it is silly. The rates are ridiculously cheap. I think they’re going to trend up aggressively when people believe in the town, and I hope it’s going to happen shortly. But I think our rates for ‘11 will be, hopefully, above 2, 2.15, but that’s the best I can hope for now for ‘11.
Felicia Hendrix – Barclays Capital: Okay. And then final question, Sheldon, how are the condo sales going?
Sheldon Adelson: What condos?
Felicia Hendrix – Barclays Capital: Co-ops. I am sorry, the co-ops.
Sheldon Adelson: The co-ops. We are just in the throes of getting the final okay. In days the last email I got from Jacob said that. He expects the ability to move it into the separate corporation that we’ve setup and that he would immediately start selling. The responsibility for that was moved from the Minister of Finance to the Minister of Public Works. And the last email I got was positive, was optimistic about our getting okay. And the sales activity that condo – they don’t have co-op over there, but the condo market in Hong Kong, as an example, was very strong and the condo market in Shanghai, which caused the Chinese Government to say, well, we want to cool this hot market up, the market has been hot enough. And as Mike has said, we are looking for other foreigners. We are not looking for Macau residents. So, Steve Jacobs – the sales department was looking at 1,500 a foot and I told them that we should keep our original target of $1,750 a foot and we’re looking at strong market in both Korea and Japan.
Felicia Hendrix – Barclays Capital: Great. Okay, thanks guys.
Operator: Your final question comes from Larry Klatzkin.
Sheldon Adelson: You used to be first.
Larry Klatzkin – Jefferies: Hi, saving the best for last, what I can say. Actually majority of my questions have been answered. I guess one question would be, as far as Singapore goes, are you guys still in the mode of ramping up the mall and would you still consider selling that mall if you are allowed to?
Sheldon Adelson: Not yet.
Ken Kay: We can’t sell it for…
Sheldon Adelson: No, no. Under the sale of real estate, we can’t sell it I think for seven years. However, I still think we’ll get a lot more up in the next several months. We’ll ramp up to completion. It should be completed by the end of the year, but I wouldn’t even consider it until we found out that it matured. By matured meaning that it has gone up substantially. Now, that a lot of the tenants are in percentage rents, which go from 12.5 to 18 there, just like Macau. And I wouldn’t consider selling it now.
Larry Klatzkin – Jefferies: All right. So, once you hit Street numbers and past, you will look at what you can do with it?
Sheldon Adelson: We’ll have to grow, Larry, and then see what happens. If we level off the growth or the growth rate stops – if we feel we’re getting towards the maximum, we got to leave some room for anybody who buys it to have some growth in it too besides just inflation. So I would say it’s – if I had to give an answer today, I would say it’s probably at least two years, maybe three away.
Larry Klatzkin – Jefferies: Monetizing the cash flow stream. Okay, that’s good. That’s good. And other than that, I think all the rest of my questions have been answered. So, congratulations on a great quarter.
Sheldon Adelson: Thank you. And I think on a good rate, I think that we’ll be able to sell it. At a good cap rate, we’ll be able to sell it and have money to pay off our debt.
Larry Klatzkin – Jefferies: That would be fantastic.
Sheldon Adelson: Originally – the original budget, and if we get into percentage rents, we’ll get back to the original budget. But a lot of the leases were signed during the economic tsunami, but we still have the percentage rents. And if they hit where the original budget was, we’ll be able to sell it and get back most of our costs.
Larry Klatzkin – Jefferies: That would be great, $1 billion of cash flow and no debt. All right, thanks guys.
Sheldon Adelson: $1 billion? Who said just $1 billion?
Rob Goldstein: It sounds Larry.
Sheldon Adelson: Is your analyst orientation leaking out? Are there any further questions?
Operator: There are no further questions.
Sheldon Adelson: Okay. Thank you, everybody. It’s been a good time, except that it felt like September 18. The stock market today felt more like September 18, ‘08. But I’m sure you’ll all respond positively to our business. Thank you.